Operator: Good morning and welcome to the Bausch Health Third Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Art Shannon, Senior Vice President, Head of Investor Relations and Global Communications. Please go ahead.
Art Shannon: Thank you, Chad. Good morning, everyone, and welcome to our third quarter 2018 financial results conference call. Participating on today's call are Chairman and Chief Executive Officer, Mr. Joe Papa; and Chief Financial Officer, Mr. Paul Herendeen. In addition to this live webcast, a copy of today's live presentation and a replay of this conference call will be available on our website under the Investor Relations section. Before we begin, we'd like to remind you that our presentation today contains forward-looking information. We would ask that you take a moment to read the forward-looking statement legend at the beginning of our presentation as it contains important information. This presentation contains non-GAAP financial measures. For more information about these measures, please refer to Slide 2 of the presentation. Non-GAAP reconciliations can be found in the appendix of the presentation posted on our website. Finally, the financial guidance in this presentation is effective as of today only. It is our policy to generally not update guidance until the following quarter and not to update or affirm guidance other than through broadly disseminated public disclosure. With that, it's my pleasure to turn the call over to Joe.
Joe Papa: Thank you, Art. And thanks everyone on the phone for joining us this morning. Let's quickly review the topic for today's call. I'll begin with the third quarter highlights before turning the call over to Paul Herendeen, our CFO, to review the financial results in detail and update our 2018 guidance. Then we will review the segment highlights and catalysts before opening the line for questions. Beginning on Slide 4, I'm pleased to say the third quarter results further demonstrate that our progress towards transformation is on track. In addition to another consecutive of overall organic growth, we successfully delivered organic growth across all reporting segments and generated great cash flow from operations in the third quarter. Based on the efforts of the 21,000 plus Bausch Health team members around the world, we are executing on our plans to resolve legacy issues, investing in core franchises and launching new products that we expect to be the foundation of our future growth. On Slide 5 we’ve called out some of the highlights which demonstrate our continued progress towards transformation. First and foremost, our businesses are growing. Revenue grew organically by 3% compared to the prior year quarter and third quarter 2018 was our third consecutive quarter of overall organic revenue growth. We also generated $522 million of cash from operations in the third quarter. At the product level, our top 10 products grew organically by 7% in the aggregate compared to the prior year quarter. Moving on the top right of Slide 5, we had a lot of new product activity, including the launches of LUCEMYRA in August, The SiHy Daily lenses, which were launched in Japan in September and PLENVU which was also launched in September. I will cover a few other recent and upcoming launches in more detail later in the call. Moving to the bottom left. I'm delighted to say that as of today we have reduced debt by approximately $7.4 billion since the first quarter 2016, bringing total debt below $25 billion. This included more than $360 million of debt repaid from cash generated from operations during the third quarter. Finally, thanks to the hard work of our legal team, we resolved approximately 60 matters since January 1, 2018. Notably, we resolved the XIFAXAN intellectual property litigation which we expect will preserve market exclusivity until 2028 without making any financial payments. We also resolved the legacy Salix SEC investigation without any monetary penalty. We've also resolved the outstanding arbitration with Alfasigma and picked up a late stage rifaximin development project. On Slide 6, we present a snapshot of key third quarter financial highlights for our four segments. Approximately 75% of our total third quarter revenue was generated by the Bausch + Lomb/International and the Salix segments. On a combined basis, these segments grew organically by 3% during the third quarter compared to the third quarter 2017. As I mentioned earlier, third quarter ‘18 was the first quarter that all four of our segments grew organically, Bausch + Lomb/International by 3%, Salix by 2%, despite the UCERIS loss of exclusivity during the quarter. Ortho Dermatologics grew by 1% and Diversified Products by 4%. In summary, it was a strong quarter across the board. With that, I'll turn over to Paul to take you through the financial results in further detail.
Paul Herendeen : Thanks, Joe. I'll start by walking down the P&L slide on Slide 7. As Joe said, strong quarter, revenue up 3% organically from Q3 of ‘17 and adjusted EBITDA was up 5% organically. All four of our segments delivered organic revenue growth. Walking down the P&L, providing a little color with respect to the key line items, I’d just want to point out that when we talk about organic growth that means on a constant currency basis, adjusted by divestitures and discontinuations. Revenue was down 4% on a GAAP basis, unfavorable movement in FX rates decreased our reported revenue by some $30 million. Further, Q3 ‘17 included roughly $112 million of revenue from divested assets, particularly iNova and Obagi. So adjusting for both FX and divested assets, our organic growth in Q3 versus 2017 was plus 3%. To put that 3% organic growth rate in context, we overcame a roughly $87 million growth drag in the quarter associated with the LOE assets that are detailed on slides 27 and 28 in the appendix for our presentation. So a good result. Next, we saw marked improvement in our reported gross margin compared with the prior year quarter, up some 250 basis points. Three of our four segments saw improvement in gross margin led by Salix which was up 470 basis points due to a combination of favorable mix and improved gross to nets. Within the B&L/International segment, our consumer NRx businesses in Europe and Latam saw improved gross margins due to favorable mix and better management of inventories, resulting in lesser write-offs. International Vision Care was also a meaningful contributor to the gross margin expansion. The better gross margins enable us to report organic growth at the gross profit line up 6%, double that of our organic revenue growth rate. Selling, advertising and promotional expenses were down or favorable by $20 million, or 4%, 3% on a constant currency basis. We continued to implement actions to improve the efficiency and effectiveness of the dollars we deployed in these activities with the current focus on our launch products. For example, in Q3 2018 relative to ‘17, we reduced A&P spending for some assets and we allocated some of those savings to roughly $17 million of promotional support for LUMIFY with excellent results. G&A expenses were down -- excuse me, were $10 million unfavorable to Q3 of ‘17. This had more to do with the timing of certain expenses in 2018 than an overall increase in G&A spending. Year-to-date G&A expenses are down some $37 million or 8% favorable to 2017, which more accurately reflects our progress in controlling costs. Our investment in R&D in the quarter totaled $107 million up $26 million or 32% compared to Q3 of 2017. We’ve been talking for some time about our intentions of ramping up our investment in R&D, and I will make an editorial comment here. The process of increasing our investment in R&D has been a bit slower than we would have liked. That said, we are pleased with where we are in the process and will not sacrifice the productivity of our investments in R&D for speed. We revised our guidance for full year R&D down to approximately $415 million and we revised our commitment from expecting increase over 2017 to be greater than 15% to being approximately 15%. I have no doubt that the level of our investments in R&D will continue to increase over the next several years and that the level of investments will be sufficient to enable the company to drive organic growth over the long-term. The net result for the quarter was that we posted a solid $916 million of adjusted EBITDA up 5% on an organic basis from Q3 ‘17. While we focus on adjusted EBITDA as our key performance metric, I do want to call out that our adjusted net income for the quarter was up 10% on a reported basis and 17% on a constant currency basis. The higher growth relative to adjusted EBITDA was due to two factors; lower interest expense and a lower adjusted effective tax rate. Our average debt balance in Q3 of ‘18 with some $2.4 billion less than in Q3 of ‘17 and that combined with lower non-cash interest expense reduced our total interest expense versus Q3 of ‘17 by some $39 million. Our effective tax rate on adjusted pre-tax earnings in Q3 of ‘18 was considerably less than in Q3 of ‘17. Now I wouldn’t read too much into the tax rate at any one quarter in isolation as small changes in our estimates of pre-tax income by jurisdiction for the full year can produce large swings in our quarterly effective tax rate. In Q3 of ‘18 our ETR on adjusted pre-tax was circa 7%, year-to-date the rate is roughly 10% and we are guiding to a rate of roughly 11% for the full year. I want to turn quickly to each of the four segments to provide a little color starting with the B&L/International segment on Slide 8. Revenue was up 3% on organic basis, the eighth consecutive quarter of organic growth. Importantly, the growth of the segment was driven by a 4% increase in volumes and offset by roughly 100 basis point decline in realized net prices. Four of the five sub-segments posted organic growth and all five saw increased volume over the prior year quarter. The growth in Global Vision Care was led by the US which grew 8% organically. Growth outside the US was strongest in Japan. Global Surgical was up 3% organically and was consistent between the US and o-US businesses. Global Consumer was up 3% organically also led by the US where we posted strong gains with our eye vitamin Ocuvite and PreserVision and from the ramp of LUMIFY. Global Ophtho Rx was up 9% organically aided by revenue from VYZULTA in the US and strong regional performances from our Turkey, Greece, Middle East, Africa cluster, the UK and Eastern Europe. The international pharma business was flat organically over the year ago quarter with solid growth in our Egyptian business Amoun, and our Latin America business. Growth in those regions was offset by softness in Eastern Europe and Russia. Moving to the Salix segment on Slide 9. Salix revenue grew $8 million or 2%, despite the impact of LOEs that totaled some $31 million that’s mainly UCERIS tablets. XIFAXAN Grew 11%, mainly from improved realized net pricing. TRxs for XIFAXAN, a proxy for units, were up 9% compared with Q3 of ‘17. RELISTOR grew 88% on improved realized net pricing and a strong increasing volume. A quick note on the improvements we have seen in the net realized pricing of a number of our branded pharma products. In 2017 we kicked off initiatives to improve the gross to nets on our branded pharma products focusing on things, including the cost effectiveness of co-payer assistance cards, the level by our discounting at non-retail accounts and the magnitude of product returns. You’ve started to see some of the benefits of these activities in Q1 of this year. For example, the improvement you saw in XIFAXAN realized net pricing based on changes to our non-retail discounting practices. I am going to segway to a quick tutorial -- our accounting tutorial about the gross to net items. If actual levels of gross to net deductions for a product declined during the quarter is an obvious improvement in realized net pricing and you can expect that the improvement will continue until there is a change in the programs driving the reduced level of process gross to net deductions. Less obvious is the ephemeral benefit of rebasing the accruals for the gross to net items. With lesser observed deductions, the period ending accrual needs to be reduced with the result being a further improvement in the realized net pricing in the period which is on top of the already noted improvement driven by the reduced level of process deductions. This so-called true up of gross to net accruals can drive significant variances in shorter periods of time like a quarter but normalize over longer periods of time. In our Q3 2018 results versus Q3 of ‘17 you see this phenomenon with RELISTOR and you’re going to see it again when I talk about dermatology and our neurology businesses. On to the Ortho Dermatologics segment on Slide 10, I want to call your attention to the medical driven part of this segment that was down 1% organically. Volumes in our medical driven business were low substantially versus Q3 of ‘17, but were nearly offset by improved realized net pricing driven by our efforts to more effectively manage gross to nets in the segment. That’s the initiatives I just spoke of in my review of Salix. We have not taken price increases in our medical driven portfolio. So almost the entirety of the improvement in net pricing came from reduced rebates on co-pay assistance cards, lesser actual levels of product returns and the beneficial impact of truing up the associated gross to net accruals that have the effect of magnifying the improvement in gross to nets when looking at the quarter in isolation. Of those three the true-up of the accruals was the most significant factor. Important, revenue in the medical driven part of this segment in Q4 will revert to something closer to what we saw in the first two quarters of this year as the magnitude of the favorable true up of accruals in Q3 will not repeat in the future. Solta has continued to perform very well under leadership of Tom Hart. Revenue was up 15% on an organic basis with a strong growth in equipment sales in the US that’s VASER, Fraxel and Clear + Brilliant, and growth in the Asia-Pacific region driven by the launch of Thermage FLX. The growth in Solta was volume driven as realized net pricing declined versus Q3 of ‘17. On to Diversified on Slide 11. Overall, the segment was up 4% on an organic basis. The neuro business was down $16 million or 7% organically. The impact of the LOE assets compared with Q3 of ‘17 was minus $54 million but that decline was offset in part by growth in the sales of several of the promoted products within this portfolio, mainly Wellbutrin and APLENZIN, which together grouped 15% compared with Q3 of ‘17 and also the favorable impact of the gross to net initiatives I talked about in covering both Salix and ortho derm. The US generics business with the star of this segment up $35 million or plus 43% compared with Q3 of ‘17. Roughly half of this growth came from launches of authorized generic versions of our products that lost exclusivity, and the other half from our ability to capitalize on market opportunities within our broader generic portfolio. I said this in the past, but the leader of our diversified segment Barbara Purcell and her entire team do a great job of maximizing the value of the assets in this segment. Our dentistry business is facing reimbursement challenges and we saw revenue decline in that business compared with the prior year quarter. Switching gears and moving to the balance sheet on Slide 12. Here you see the progression of our total debt. We were just above $25 billion at quarter close and we ended with $973 million of cash. On to the cash flow summary on Slide 13, it was a strong cash flow quarter for us as we generated $522 million cash from operations. We use that cash flow to repay more than $360 million of debt during the quarter and just two weeks ago we repaid another $125 million of debt to bring our debt under $25 billion today. The $1.182 billion of cash from operations generated year-to-date represents an average of $394 million per quarter. But that average was depressed by a number of non-recurring cash payments we’ve made so far in 2018, such as the SOLODYN settlement which was paid out in ‘18 and the Allergan settlement. We continue to believe that our business has the capacity to generate cash from operations in the low $400 million range per quarter on average. Next, our revised guidance on Slide 14. On the face of it, we’re holding our revenue guidance in the range of $8.15 billion to $8.35 billion. However, that's far from the entire story. FX rates from August until now decreased our full year outlook by $15 million. Our revised view of the projected LOE assets improved by some $70 million and we increased our forecast for the balance of our business by some $45 million. So net-net that would've been plus $100 million at the revenue line compared with our prior guidance. However, as part of our CORE program and I’ll about remind you don't remember, CORE stands for Cost Optimization and Revenue Enhancement. We are implementing a change to our distribution strategy for our US branded pharmaceutical products. This change is expected to generate some $15 million to $20 million of improvement in our gross to nets per year from here forward. In addition, this change will enable us to improve our supply chain logistics, thereby improving efficiency and will help us reduce our investment in working capital. All good things, good things that come at the one-time cost of absorbing a reduction in wholesale pipeline inventories during Q4 of this year. The impact of this initiative relative to what’s continuing as we have in the past is that Q4 2018 and full year 2018 net sales will be reduced by some $100 million. Since we disclose our wholesale pipeline to you each quarter you'll be able to see the expected reductions in pipeline inventories while we report our full year 2018 and Q4 results. To be clear, this reduction in our revenue forecast for ‘18 is the result of a tactical decision on our part. The long-term returns that we will realize by foregoing near term revenue and the associated profits are unassailable. We're increasing the range for our full year 2018 adjusted EBITDA guidance by $100 million across the range as you will see on the bridge on Slide 15. That’s the combination of: one, the changes in FX rates; second, the increased profit from higher forecast revenues for the LOE assets; and third, the improved forecast for our base business. All those three things together would have allowed us to raise our adjusted EBITDA range by some $185 million. However, the decision to change our distribution strategy for our branded pharma products reduces our adjusted EBITDA expectations for [2008], and limits the range to $100 million, still wicked good. You will note that we are maintaining relatively broad guidance ranges for both revenue and adjusted EBITDA, while we stand by our estimates of the impact of the change to the US pharma distribution strategy where we actually land with respect to that initiative could vary from our expectations. In summary, we had a strong quarter and feel really good about the balance of 2018. Since Joe got here in early 2016, we made real strides in improving our operations, investing behind growth, generating cash and using that cash to address our leverage. The cumulative impact of those efforts, plus the steps we’re taking in Q4 this year will enable us to enter 2019 in really good shape. Back to you, Joe.
Joe Papa: Thank you, Paul. Let's go through some of the highlights in our Bausch + Lomb/International segment on slide number 16. First, this segment delivered its eighth consecutive quarters of organic growth as you can see in the graph on the left. Importantly this growth is driven by increased volume across all five reporting business of the segment. In the aggregate, the top 10 products in this segment grew organically by 7% compared to the prior year quarter. The Global Consumer business delivered another quarter of great performance, LUMIFY which was launched in May is already number one physician recommended product in the Redness Reliever category, LUMIFY is also one of the top 2 brands in the category achieving a weekly market share of 26%, as measured by dollar -- retail dollar sales. The e-commerce trend remains positive for our consumer product. Amazon continues to be a strong channel with sales up 41% in the third quarter compared to the prior year quarter. And finally for the consumer business the Bausch + Lomb eye vitamins PreserVision and Ocuvite together as the number one brand and the number one driver of growth in eye vitamins category, these products grew organically by 11% in the third quarter 2018 versus last year on a combined basis. Moving on to the Vision Care on Slide 17. When it comes to contact lenses, one of our team’s mantras is comfort, vision, health and its clear focus is resonating with consumers. Vision Care’s strong performance in the third quarter was driven by continued market share gain outpacing the competitors. Internationally growth was driven by Asia, Russia and Latin America. The chart on the left illustrates the performance of our US Vision Care business, since we installed new management at the end of the first quarter of 2017, you can see the impact of this change, beginning with the third quarter of 2017, up 9%. We are up 15% in the fourth quarter, 15% in the first quarter and so on. This is an example of an effective Vision Care team that is delivering great results. Turning now to VYZULTA, on the bottom right, we've included the weekly script data for VYZULTA since the beginning of the year, which shows a growth of 20% from the second to the third quarter of 2018. In terms of market access our position is substantially improved. Our continued coverage now include Express Scripts Commercial, CVS Commercial which started in mid-October and the AARP Part D, which started on October the 1st. We have efforts underway on several other plans and expect to improve overall access in the fourth quarter. On Slide 18 sales revenue growth of 2% was driven by continued strong fundamental execution across XIFAXAN and RELISTOR despite the loss of exclusivity for UCERIS. XIFAXAN revenue increased by 11% compared to the third quarter of 2017. The RELISTOR franchise revenue increased by 88% compared to the third quarter of 2017. Also we have now resolved the significant Salix legal legacy matters and as a result, we have reduced uncertainty around this business. A few more highlights for XIFAXAN TRx unit volume grew by 9% versus the prior year quarter and we are seeing continued accelerated growth quarter-over-quarter. As you can see from the chart in the right, NRx shares continues in Primary Care up 21 share points since February 2017, as a result of strong execution in the field. Let’s move over to Slide 19 and talk about Salix product portfolio. We have a number of programs in the works for rifaximin. First, we are continuing to roll patients in a study that we initiated earlier this year with a new formulation of rifaximin for Acute Overt Hepatic Encephalopath. Activities are underway for a Small Intestinal Bacterial Overgrowth or SEBO study which is expected to commence in the first half of 2019. Resolving the arbitration with Alfasigma has resulted in two important benefits for Salix. One, we have confirmed the rights we have under our existing license agreement to the extended intestinal release formulation of rifaximin. And two, we expect to initiate a late-stage clinical program to study an investigational formulation of rifaximin in patients with postoperative Crohn's disease which is an area of unmet need. According the Crohn's & Colitis Foundation more than 750,000 Americans have Crohn's disease and of those up to 75% will eventually require surgery. There are two additional partnership opportunities that I want to mention. First, we’ve expanded our microbiome research and discovery through a strategic collaboration with Cedars-Sinai Medical Center. And as we mentioned in the last quarter’s call, we have also agreed to expand the license term for three additional budesonide programs from Dr. Falk Pharma. I also want to review a few new products in the Salix family that have recently launched or are now launching. LUCEMYRA launched in August as part of a co-promotion arrangement with US WorldMeds is the first and only non-opioid medication for the mitigation withdrawal symptoms after abrupt discontinuation of opioid in adults. LUCEMYRA is a perfect bolt-on to our ongoing RELISTOR promotions. PLENVU is a 1 liter PEG bowel cleansing preparation for colonoscopies launched in the United States in September. The third product that I want to highlight is DOPTELET which is approved by the FDA in May of 2018 for the treatment of thrombocytopenia in adult patients with chronic liver disease or scheduled to undergo a procedure. Under our exclusive co-promotion arrangement with Dova Pharmaceuticals about 100 sales reps will begin promoting DOPTELET to gastroenterology healthcare professionals in mid October, another synergistic bolt-on promotion opportunity for gastroenterology team. Moving on to Slide 20 for Ortho Dermatologics. Total segment organic revenue growth was modest in the quarter, up 1% as the business continues to stabilize. Global Solta had another strong quarter particularly key markets of US, China, South Korea and Japan. Revenues grew organically by 15% versus the third quarter 2017 driven by demand and expansive global launch of Thermage FLX a non-invasive skin tightening treatment. When I think about the future of our dermatology business, I think about three things: new products, new products and new products. Our ability to develop and commercialize these new products will determine our success and the good news is that our recently products are doing well, first SILIQ. As you can see chart on the right TRx weekly scripts saw more than a 65% TRx growth in the third quarter versus the prior quarter due to continued marketing initiatives and increasing REMS certifications. To-date we have REMS certified over 3,900 prescribers for SILIQ. TRx weekly scripts for RETIN-A MICRO for 0.06 and 0.08 on a combined basis saw more than 50% TRx growth versus last year. At the end of October we launched ALTRENO, innovative new acne treatment. ALTRENO provides a trusted efficacy of tretinoin but in a lotion formulation that is generally well tolerated and helps hydrate and moisturize the skin. In addition, we are investing in a number of potential treatment for acne and atopic dermatitis that are progressing nicely through our pipeline, which you can see in the bottom right of Slide 20. Phase 3 studies for IDP 120 are expected to begin later this month and we're expecting to submit an NDA for IDP 123 in the first half of 2019. On to Slide 21, let me now take a moment to address BRYHALI and DUOBRII, two novel psoriasis treatments. Psoriasis presents a large and growing market opportunity approximately 7.5 million people in United States are living with psoriasis and there are 150,000 to 260,000 new cases each year. It's important to note that the clinical picture of psoriasis is not uniform, because the condition exists on a spectrum of severity ranging from mild and occasional to severe and chronic. Treatment options are not uniform either ranging from topical steroid creams to intravenous biologics. On the left we show you where we believe BRYHALI and DUOBRII would fall on the spectrum of severity. Our market research has shown that while there is some overlap healthcare proprietors will use BRYHALI differently than DUOBRII with different patient population. BRYHALI is expected to be a new potent steroid treatment for plaque psoriasis and a novel vehicle lotion. Safety has been established in clinical trials with dosing for up to eight weeks with no increase in epidermal atrophy. It's an appropriate treatment for patients with mild to moderate symptoms. The DUOBRII is expected to be the first and only topical lotion that contains a unique combination halobetasol and tazarotene in one formulation which it allows for a potentially expanded duration of use. If approved DUOBRII would be an appropriate treatment for patients for example with more moderate to severe symptom including chronic or long lasting episodes and thicker, stubborn plaques. Due to the unique formulation that allows for a longer duration of use DUOBRII has the potential to reduce the cost of treatment by up to 75% versus injectable biologics. That's important for patients, physicians, and payers. On Slide 22 we show the current state of the significant seven products, which represent our core growth drivers over the next five years. As an update from last quarter's call SiHy Daily lenses launched in Japan this September. BRYHALI is expected to launch later this month, and as a reminder, DUOBRII has a PDUFA date coming up in February 2019. On Slide 23 we show our late-stage pipeline and recent launches. As you can see each of these three segments is working to develop a best-in-class and diversified pipeline of new ophthalmology dermatology and GI products that we believe will expand our portfolio and fuel feature growth. In B&L we have a new ophthalmology gel for ocular inflammation with a PDUFA date coming up in February. We're excited about the rifaximin programs and early and our late-stage derma product line has a lot of potential. On an annualized basis the products we launched since 2016 are growing and generating approximately $300 million of revenue. Finally, slide number 24, we review the 2018 commitments and expected targets we outlined at the beginning of the year. Having now delivered three consecutive quarters of overall organic revenue growth, we are very pleased with our progress. To summarize all four of our segments grew organically for the first time in the third quarter. Our top 10 products in aggregate grew organically by 7% in the quarter. We generated $522 million of cash from operations. We improved working capital by more than 25% since the second quarter of 2016. We reduced our total debt under $25 billion. We raised our full year adjusted EBITDA guidance range for the third time this year. We resolved approximately 60 legal matters including three important legacy issues for the Salix business. We resolved the XIFAXAN IP litigation and expect to preserve market exclusivity for our top products until 2028. And finally, we have made responsible pricing decisions, are committed to continue to do so because approximately 51% of our revenues come from a diversified mix of medical devices, OTC products and prescription branded generic products that are not exposed to the US graded prescription drug pricing environment. Overall, great progress towards achieving operational excellence. With that, operator, let’s open up the line for questions. Operator?
Operator: [Operator Instructions]. The first question will be from David Risinger with Morgan Stanley. Please go ahead.
Zhu Shen Ng: Hi, this is Zhu Shen here for David Risinger, a couple quick ones. So could you please comment on LUMIFY’s global potential including the opportunity to be bigger than Visine? And secondly, what should we assume for Lotemax, Cuprimine and Apriso's generic prices in 2019?
Joe Papa: Let me start with LUMIFY and sort of with the concept, we think LUMIFY is a very important advance in the treatment of redness relief. The primary reason I say that is that LUMIFY works on the venous side of the -- verses on the arterial side where many of the other products work. We’ve -- based on comments from the physicians we've spoken with, that is important advance in treating redness relief in the eye. That’s the reason why we believe it is the number one recommended product by physicians in this category. Relative to the concepts, we’re not going to make any specific comments about the size of the opportunity, although as I said we can straight quickly point towards the fact that within four months now we are already at the 26% market share. So are very excited about where it goes, where that product goes relative to the future opportunities there but we’re really not going to comment anything specifically at this point about the future part. On the second part of the question on Lotemax for 2019, one of the comments I would say first and foremost is that it is not a date certain launch. So as we look at the slide number …
Paul Herendeen: 27.
Joe Papa: 27, thank you, Paul, to slide number 27 in our deck we point to the fact that Lotemax right now based on our best estimates is a second half 2019 event. Once again, we’re going to say it's not a date certain event.
Paul Herendeen: I’m going to -- I’d just follow that up and again point you directly to Slide 27, the three products that you called out all were changed. When we changed the assumption on with respect to these LOE assets, we typically highlighted in red, so all three are the ones you reference are changed, they are shown on Slide 27. Each one of those products if you want to get a guesstimate or actually a pretty accurate estimate, that’s fairly four quarters revenue, while all four are part of our top 10 products by segment or overall. So you can you can draw your own conclusions from that.
Operator: Next question will be from Gary Nachman with Bank of Montréal. Please go ahead.
Ann-Hunter Van Kirk: Good morning. This is Ann-Hunter Van Kirk on for Gary. A couple of questions, if you could give us a better understanding of the gross to net accruals and how that impacted 3Q overall and also you discussed your significant pay down this year but with XIFAXAN placed do you see a high probability that you'll be able to actually restructure the debt again and push out maturities even past 2021?
Paul Herendeen: Yes, let me address the gross net. The reason why I spent probably more time on it than people would have liked on a call is yes it's an important driver for us. That said we forwarded these initiatives back in 2017 and the kind of the way it works is what we are reiterating is until you sought to see the actual results meaning lesser deductions gross to net, you kind of keep going on -- keep going along, but as you in a period see significant reductions in the actual process gross to net items associated with some of these greater products, that's when it forces you to look at your quarter calls accrual and through that accrual based on the most recent experience I called it out because it was a driver I think the easiest example to follow along with is RELISTOR, RELISTOR scripts are up strongly. However we are 88% year-over-year. That's the result of that kind of magnification of the improved gross to net in Q3 of '18 relative to Q3 of '17 that, that will normalize overtime. I think you saw some of that across I called out within the GI the Salix portfolio, you saw some of that with respect to the certainly within the dermatology portfolio. I specifically pointed to the fact that I would not expect the results that we have in our medical derm portion of the Ortho Dermatologics segment to be at the sales level that you saw in Q3 and that it would return to something it came to what you saw in the first couple of quarters of this year. Last thing on this because it’s -- just I know we're going to get lots of questions on it and I appreciate that, we will do our best to answer. This goes against Q2, we add UCERIS which lost exclusivity in July. As those units start to fall off and you reevaluate pipeline inventories, you start to take a look at gross nets there and gross nets in that were dramatically worse than we would expect them to be in Q4 and going forward. That’s long winded way of saying if you look at the drop off in UCERIS from Q2 to Q3 if they really fell off it’s yes a little bit of that is the other side of the true-up of gross to net accruals associated with that brand. And so lots going on with respect to those quarter close accruals. That's why we've spent so much time on it. Your question regarding the continuation of our efforts to deal with our cap structure. I think we found ourselves with the work we've done over the last let's call it 18 months that’s in pretty good shape, I mean we don’t have any significant maturities going out from 2020 and so now we’re starting to look at as you saw we announced and paid off a $125 million of the debt due in 2021 so we’re starting to turn our attention to the 2021 debt stack. I'd say that is a process as much progress as we made is something we just need to continue along with for the foreseeable future.
Joe Papa: I’d add to what Paul said on that last point, I think Paul and we all have done an outstanding job in moving the debt stack out and giving us what I really refer to as free to operate so that we can grow our EBITDA and that to me is really the most important way for us to think about what we're doing on a delevering point of view but a good work by Paul and the team on this.
Operator: That will be from Umer Raffat with Evercore.
Umer Raffat : Joe first for you. So I noticed consensus models top-line growing for Bausch going forward over next several years, including next year. Is that how you understand the business to be? One. And then secondly, Paul you used the word wicked good on EBITDA, so I want to go through that a little more. So Q4 EBITDA guidance is implying down, not just versus Q3 but versus Q2 as well based on the guidance and you also hinted that the distribution strategy could have some impact. So that’s really my question what exactly is going on, on the inventory, are they certain -- on the distribution channel are you entering or exiting certain channels, just to understand the dynamic because it sounds like it will be negative in Q4, but it will be positive next year and how that actually ends up tying to gross to net, just wanted to clarify this whole thing?
Joe Papa: Sure. I will take the first part of the question. So on our growth comments, the best thing I think I can comment about in terms of how we are viewing our future is what we have said historically, and what has come through our strategic plans is that as we think about the growth in our business we talk about the company annual growth rate, what we've said previously on the top-line is that we will cross our Bausch Healthcare business. We expect to add annual CAGR growth of approximately over a three-year period of 4% to 6% CAGR on the revenue side and on the EBITDA side 5% to 8%. I think that's probably what I will stick with relative to what we’ve said historically and how we are modeling our business going forward. Obviously there are going to be variations quarter-to-quarter year-to-year but the annual approach that we're looking at is trying to grow that EBITDA by the 5% to 8% and grow the revenue somewhere in that 4% to 6% depending on what happens in a given year. Paul, you want to take that second part of the question?
Paul Herendeen: Yes, sure. Yes, Umer I used that phrase wicked good because of my socks pant and I’m still really happy about how that series went. But much more seriously $100 million when you are contemplating at the adjusted EBITDA line, when you’re executing a strategy that is definitely going to reduce your expectations for the quarter by some $85 million at the adjusted EBITDA line, that’s still pretty strong. We are fortunate that we have the opportunity to continue to execute on these CORE initiatives when I said CORE Cost Optimization Revenue Enhancement. This is revenue enhancement. By executing on this we expect we will improve in a lasting way our gross to nets with respect to these products. Now what does this mean? Let’s say if you look at slides 50 and 51 we have since I got here reported our wholesale pipeline inventories so that everyone out there can follow along with what's going on. So there's no question about kind of where are we -- results in the quarter or in any period, the results with relative expansion or contraction of pipeline inventories. If you look at that that slide what you'll see is over the course of 2018 year-to-date in our four segments that we point out on the branded pharma space, only one -- I am sorry, year-to-date the derma is up a couple of months, 0.23 relative to the prior year year-to-date period, the neuro business is down 0.22 months, the ophtho Rx is up 0.15 and the GI is down 0.08 but if you look at the balances at the end of the quarter, now you see that they are generally down and they have been trending down over the course of the last call it I don’t know eight quarters. And so we are working to better align our supply chain with demand and part of that is going to be reducing from call it circa 1.4 or 1.5 months supply out in the channel down to a number closer to a month. The cost of that is that again estimate in 2018 in Q4 of '18 is circa $100 million of reduced revenue expectations. I think the return is going to be as I said on the call I used the word unassailable, anybody on this call I think would make just this economic decision at this moment in time, the hard part about it is the optics are -- yes revenue is going to be less in '18 and in Q4 I don’t know our adjusted EBITDA is going to be less than ‘18 and in Q4 than we could have been and we just kept doing what we have been doing before. This is one of the things when Joe joined and certainly when I joined after, there are a number of initiatives that we started to way back when and these things are they are not easy, they are -- I don’t want to call them hard but it’s like yes, we have been working on this for quite some time to get to the place where we can execute on this change and now is the time.
Operator: Next question will be from David Amsellem with Piper Jaffray.
David Amsellem : Thanks. So wanted to ask a sort of broader question about business developments and licensing and you've started to do deals that better leverage the commercial infrastructure, particularly in gastroenterology and maybe even over time primary care like the DOPTELET deal with Dova. So -- but I want to ask you this I mean given the state of the capital structure, how should we think about how aggressive you can be regarding the acquisition of products and what kind of approaches you think you can take regarding accessing capital to bring in products, are you looking at pipeline related assets, particularly in GI to acquire or you are looking at ways to add more commercial stage assets that leverage the infrastructure? Help us understand your thinking and particularly how you expect or how you can deploy capital to that end?
Joe Papa: It’s a great question, David, thank you for the question. Relative to what we've talked about for the past couple of years now we've been in the multi-year plan and transformation of this business. What we have said first and foremost we got to do is focus on which therapy areas that we want to focus on, and that for us was the ophthalmology or eyecare business, the GI and dermatology. Once we have accomplished that, it was then a question of figuring out where can we best invest the high in those business so for example we put in that primary care team that you mentioned and saw a great return on investment, but our long-term goal is very much to continue to develop products both internally or organically but also through inorganic. What we've had a chance to talk about today is really just the transformation that we've been talking about where we can make some investments, bolt-on, some products that are in addition to what we can do organically. I talked about a couple of them today. PLENVU is a product that we license and finally got a chance to launch this year. LUCEMYRA for us fits perfectly with what we're doing on RELISTOR -- and RELISTOR -- and talking about how our RELISTOR helps the patients with opioid induced constipation LUCEMYRA is just another perfect bolt-on for that product. The other one that we've talked about in the past was in our dermatology space, we developed an early stage product from Kaken that's going to help us in the area of psoriasis. So, look to us see us continue to look at opportunities to grow both organically and through inorganic means. I will say for the near term, Paul and the team in the Finance and Treasury too, done a great job in resolving some of our debt issues, but we're probably not yet at a stage where you're going to see us go after multi-billion dollar opportunities. But certainly we can do the bolt-ons that are in the $100 million type range or $200 million range. Those would be the ones that we continue to look at. We think that they make a lot of sense because they're strategically perfect fit for ophthalmology, GI and derm. We think we have some great relationships and importantly some good intellectual know-how about what is important to those physicians and those patients. So, certainly we'll continue to look to do more bolt-ons, but order of magnitude under the $1 billion range is more likely than over the $1 billion range in the near term.
David Amsellem : That's helpful. Thanks.
Operator: Sure. That'll be from Dana Flanders with Goldman Sachs. Please go ahead.
Dana Flanders : Hi, thank you very much for the question. My first one here is, can you just speak to XIFAXAN in post-operative Crohn's. And just one, kind of the confidence jumping into the Phase 3. I think the European data was not in the postoperative setting that you cited into, maybe speak a little bit around, how you're thinking about that market opportunity? Thank you.
Joe Papa: So, maybe just a little bit of the facts that some of the things that we've been looking at here. First and foremost we are delighted that we resolved the arbitration with Alfasigma that gave us access to this investigational formulation of rifaximin. Specifically it is an extended intestinal release formulation. So, it has different relief characteristics from the existing molecules, so we felt that was an important question and where it's going to deliver within the GI tract. So, that would be the first point to this formulation is different from the existing formulation. Relative to the opportunity, unfortunately, based on what we've researched, there are more than 750,000 Americans that have Crohn's disease and the majority of them 75% of them will eventually require surgery. Our belief is that in that post-surgical situation post-operatively that we believe rifaximin could be a very important adjunct to other therapies and other issues that these patients face and we believe that based on the available data that exist that we could go forward, as I said, with a late-stage clinical program in this area. So, we're excited about what the opportunity could mean to help these patients with the post-operative opportunity in Crohn's disease.
Dana Flanders : Okay. And then maybe just my quick follow-up, just on the international segment, I know you mentioned last quarter, you were kind of taking steps to just improve the consistency of that business, maybe just an update on where you are on that progress? And if you're seeing early returns on some of the steps you're taking? Thanks.
Paul Herendeen: Sure. Dana, it's Paul. I'll answer this one. I think that we call, we did call it out, I believe it was last quarter might have been first quarter, I think it was second quarter. You know, Tom Appio, who runs our international group, he has done a phenomenal job of reconfiguring his organization to be much more effective in a various geographies. And I would say, I think, what I said or similar to what I said at Q2, some of the units, some of the geographies are ahead of other geographies. And I think you could see it in my remarks. I think right now our business in Egypt, Amoun is firing on all cylinders, doing really well. Our Latin American business is, which has run out of Mexico is doing really well. And what we're seeing is the laggards are continued to be Eastern Europe and Russia. That's not to say that the team there is not doing the job, it's that the steps that Tom and his team have put in place, we just haven't seen the turn there are yet, when we turn there, it will be a helper to us, here as we go forward from a growth perspective. Clearly that the Russian and Eastern European units were -- were the drag that deal that kept that international pharma segment from being a grower. It was the only one that was flat.
Operator: Next question will be from Annabel Samimy with Stifel. Please go ahead.
Annabel Samimy : Hi guys, thanks for taking my question. So, you seem to have start stabilized dermatology this quarter. I'm trying to understand how much of benefit was from the true-up in the accounting changes that were going on? And how much is it from actual volume growth? And now that you have several new products starting to launch in this segment, what's the early reception been by payers, given that this area, dermatology has been one of the favorites for reimbursement hurdles in the last few years? Thanks.
Paul Herendeen: Yes, I'll start, Joe and you might want to jump in. On the medical derm side, as I said volumes were continued to be down. We have the genericization of a couple of the strengths. The SOLODYN, you got a number of things going on there. But here's the good news. The good news is that the steps I pointed out earlier, it's a kind of a theme in the call. The improvements that we're seeing in the gross to nets are actual observed deductions that degrade gross to net sales. We are making progress, we're making particular progress in dermatology. So, we are getting to certainly to the point, where that legacy portfolio they are kind of the existing assets ought to perform better. Now, how much of that was attributable to the true-up by sort of called out and said, if the sales in the medical derm part were 148 -- like 148 in the quarter, and I says it's going to go back to something akin to what we saw in Q1 and Q2. Yeah, that gives you an idea of the magnitude of the helper that the true-up the accruals were in in Q3. The good news is, as I said part of that step-up, what you see is durable, it will continue on, because you have lesser -- lesser observed deductions in gross to net. And so that's a helper to us as we go forward. So, I'd say that we are getting to the point, where we stabilize that portfolio and now we start to see the ramps of the various products that we launched, that we launched SILIQ. SILIQ continues to ramp week to week to week. We've launched ALTRENO just very recently that's early days, where we are hopeful that we will be shortly launching BRYHALI. And then in the first part of next year you add DUOBRII in to that and I think you can see that the future for dermatology looks like it will change.
Joe Papa: The only thing I'd add, Paul answered it very well there, the only thing I'd add is to give a little more specificity the Retin-A Micro 0.06%, 0.08% combined, up 50% versus a year ago. We think that's obviously important and we are getting good coverage. Although I would say the gross to net there are very high for us. On SILIQ, as I mentioned during the call, were up 65% just versus the sequential quarter, are also our coverage in SILIQ somewhere around that 77% commercial coverage. So, we feel very good about that. The other part of what was happening in this business is, looking at what happened with Solta. Solta was up approximately 15% in the quarter. So, and that is not subject to a reimbursement environment. So on balance, I think we feel good that we're making a turn, but clearly, as I mentioned in the call, the future of our dermatology business will be new products, new products, new products, and that's really what's going to drive the long-term turnaround in our dermatology business.
Annabel Samimy : Okay. So, if I could just ask a quick follow-up. So, you have a pretty decent improving position from business in the core perspective. Can you maybe now consider a more aggressive capital restructuring, we got a lot of questions about equity for capital restructuring, and so how do you feel about that given that your current position?
Joe Papa: Maybe I'll start, but Paul feel free to add anything. I think what I tried to say before during previous question is, I think Paul and the team just have done an outstanding job of stabilizing our debt situation. They've given us freedom to operate relative to 2021 and beyond. What we've got to do really for us is to grow our EBITDA, we think that's the best way for us to delever as we grow revenue grow EBITDA. So clearly, as we're looking at it right now that our best long-term suggestion here solution for us, grow EBITDA and that by growing the EBITDA will -- naturally delever, especially right now, as we believe the stock is undervalued relative to where we believe it should be. So, I think our long-term solution is still to keep all options on table, but over the long term, we want to make sure that we focus on the freedom to operate, in growing our EBITDA in the long term.
Annabel Samimy : Thank you.
Operator: Yes, actually, our final question today will come from Louise Chen with Cantor. Please go ahead.
Louise Chen : Hi, thanks for taking my questions here. So, my first question is with respect to the gross to net improvements. Are there any other products, or areas where you see that coming up in the future? And then, can you remind us, where you are with your significant seven how they're tracking relative to your expectations? And then lastly, anything that you could give us on the debt pay down or obligations for 2019, even if it's just qualitative would be helpful? Thank you.
Paul Herendeen: I'll start with the gross to net. I think you're seeing a fairly significant change in Q3 '18 relative to '17 and even on a sequential basis if you look at it that way. I mean there are other opportunities, sure. I mean we continue to look at each one of our products. I'll keep calling out the other revenue enhancement part of our core -- part of our core program is designed for us to look in these further about the programs that we used to enable patients to access -- have access to our products. So, the work is never done, but I think you're seeing a fairly significant improvement here, year-to-date 2018. More to come for sure, but I'm not sure you're going to see it in the magnitude that you saw here in year-to-date '18?
Joe Papa: Yes, maybe the only thing I would add to the second part of your question on the Significant Seven, is we're very pleased with the progress we're making. If you just think about RELISTOR, for example RELISTOR Oral, which is one of the Significant Seven, that product this year is up 88% year-to-date. That's not just the quarter that's the full year. 88% growth in Oral RELISTOR. We think obviously it's a very important achievement. If you look at some of the comments, I made on Xifaxan. Xifaxan, this quarter 20% versus the previous quarter. So, I mean the sequential quarter. So, that we feel is very good. AQUALOX just launched in Japan. We hope we've got it resubmitted for February PDUFA date, February 15th. SILIQ I made mention it was up 65% TRx versus the second quarter. LUMIFY already is the number two product in the category, is the number one recommended physician product and BRYHALI, which we expect to get approval very, very soon. So, we're excited. We think we've made good progress, first and foremost, the products are approved. And then secondarily, as we think about, where they're going, we're seeing some good statistics relative to the overall numbers that give us optimism for the future.
Paul Herendeen: Hey, sorry Louise, I'm going to come back and just -- I stop talking and then realized there is just one more point I wanted to make on that -- on the gross to net. As you'd asked about prospects for the future, I think first it's helpful to frame it. And if you think about the magnitude of the impact of the changes that we've been making to these programs, where you see it most in terms of improvement in gross to net is in derm. That's why you see the impact that you see on our Q3 reported results. Second, in GI and then third in neuro. So, that just help you calibrate. There are opportunities across any brand that where we have programs to assist in patients being able to access our products or get access to our products. And so it's the biggest impact was certainly in derm second GI, third neuro.
Joe Papa: Louise, I don't think we can give you exact answer on the 2019, but Paul, -- you want to add about in terms of our approximation of what we said this year about, what we're paying down adapting our most important priority.
Paul Herendeen: Sure. I mean, and called it out in my prepared remarks and we continue to prioritize the use of cash flow to reduce debt. And yes, you've seen most recently now we're prioritizing and looking at -- looking at the closest in debt stack, which is in 2021. We have -- on average, we expect to produce cash flow from operations in the low $400 million range. And I think that we are generally on track with that in 2018 year-to-date and I would expect that will continue on. Just to be real clear, when you talk about cash from ops that's a pure GAAP measure, and so that represents the cash that would then be available to do such things as CapEx. It certainly to pay for any non-GAAP items that we call out like settlements of legal liabilities and things like that. And for any restructurings. But, that would leave a fair chunk of dough available to continue to reduce debt. Well, everyone, thank you very much for joining today and a special thank you to all 21,000 Bausch Healthcare team members for the great efforts and what we think is a very exciting transformation, and what we always believe is the turnaround opportunity of a lifetime. Thank you all for joining us today.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.